Operator: Good day, ladies and gentlemen, and welcome to Ferroglobe's Second Quarter 2023 Earnings Call. [Operator Instructions]. I would now like to turn the call over to Alex Rotonen, Ferroglobe's Vice President of Investor Relations. You may begin.
Alex Rotonen: Thank you, Nadia. Good morning, everyone, and thank you for joining Ferroglobe's Second Quarter 2023 Conference Call. Joining me today are Marco Levi, our Chief Executive Officer; and Beatriz García-Cos, our Chief Financial Officer.  Before we get started with prepared remarks, I'm going to read a brief statement. Please turn to Slide #2. Statements made by management during this conference call that are forward-looking are based on current expectations. Factors that could cause actual results to differ materially from these forward-looking statements can be found in Ferroglobe's most recent SEC filings and exhibits to those filings, which are available on our web page at ferrogloble.com.  In addition, this discussion includes references to EBITDA, adjusted EBITDA, adjusted gross debt, net debt, and adjusted diluted earnings per share, among other non-IFRS measures. Reconciliation of non-IFRS measures may be found in our most recent SEC filings.  At this time, I would like to turn the call over to Marco Levi, our Chief Executive Officer.
Marco Levi: Thank you, Alex, and good day to everybody. Thanks for joining us on the call today. We appreciate your interest in Ferroglobe. I would like to briefly comment on our safety record improvements as our employees are our most valuable asset. Over the past 18 months, the rate of lost time injuries declined by 66% based on our rolling 3-month data, approaching best-in-class industry standards. One of our top priorities is providing a safe work environment for our employees. And we will continue to focus on providing the safest possible workplace.  Our solid results in the second quarter reinforce our strong execution and ability to successfully navigate a challenging market. Sales increased 14% and adjusted EBITDA increased 136% to $106 million over the prior year quarter. Our cash balance reached $363 million, the highest level in Ferroglobe's history. In addition, our net debt further declined to $37 million, also a record level for the company.  Last month, we took a significant step in our deleveraging efforts by redeeming $150 million of our senior secured notes reducing our note balance to less than $150 million, highlighting our strong cash position and reinforcing our confidence in our long-term cash generation potential.  To put our overall debt reduction accomplishments in perspective, since the first quarter of 2022, we reduced our gross debt from $520 million to $250 million, in addition to reducing our interest expense. This transaction enhances our flexibility as we continue to evaluate capital allocation priorities.  As discussed before, our goal is to prudently deploy cash to enhance long-term shareholder value. Beatriz will provide more color on this in her remarks.  Recently, the U.S. Department of Energy added silicon metal to its critical materials list. As the leading U.S. silicon metal producer, Ferroglobe is a significant beneficiary of this development. The Solar Energy Industry Association estimates that the U.S. solar manufacturing capacity will increase from 7 gigawatts in 2021 to more than 42 gigawatts over the next 3, 4 years.  As onshoring efforts among all Western regions continue to build momentum, we expect to be a significant beneficiary as a critical part of the solar supply chain due to our global footprint and ability to produce high-purity silicon metal. The Inflation Reduction Act and other legislative and financial initiatives throughout the supply chain are expected to benefit Ferroglobe for years to come.  The electric vehicle market continues to represent a significant growth opportunity for Ferroglobe. We recently signed an agreement to license patents to strengthen our position in the EV battery market, reinforcing the company's position as an emerging leader in high-quality solutions for this market. This agreement allows us to advance Ferroglobe's proprietary technology and develop silicon products for the next generation of lithium-ion cells.  As the silicon content in anodes increases, battery performance, charging time and storage capacity will substantially improve our current technology. This will have Ferroglobe to produce low-carbon solutions and also accelerate the energy transition. We are very excited about these developments as they reinforce the long-term growth opportunity for the company.  In April, we have started operations in France, which helped our volume and cost performance during the quarter. Operations in Spain remain limited due to less competitive energy prices. Our flexible global footprint enables us to move production during volatile energy periods to lower-cost plants in other regions and still provide quality products to our European customers. Overall, our operations continued to perform well.  We recently signed a competitive long-term power purchase agreement with a Spanish energy provider starting in January 2024, covering a portion of our required energy needs and utilizing 100% green energy. Importantly, this is our first power purchase agreement in Spain, and we expect to sign additional agreements in the coming months. This will help us reduce our exposure to energy price volatility in Spain.  The global economy remains soft, impacting the end markets that we serve. Overall, prices continued to decline in the second quarter due to weak demand impacting silicon metal, silicon alloys and manganese alloys. We expect the market to remain challenging in the third quarter as higher inflation and interest rates are expected to continue impeding economic activity.  Interestingly, in late July, the IMF raised its global growth forecast for 2023 slightly to 3%, despite a shallower-than-expected recovery in China. The IMF maintained its 3% global growth estimate for 2024. This, combined with our internal views, provides optimism for 2024, as excess inventories should be depleted, and the supply-demand balance for our products should improve.  Despite these challenging market conditions, we are reiterating our 2023 EBITDA guidance of $270 million to $300 million due to Ferroglobe's disciplined cost control and proactive energy agreements in 2023.  Next slide, please. Let's start with silicon metal. Revenue was $195 million in Q2, up from $161 million in Q1, an increase of 22%. Adjusted EBITDA for this segment increased $31 million in to $82 million in Q2, up 165%. Our silicon metal business was up, primarily driven by restart in France, partially offset by lower prices due to a challenging market environment. Volume increased 37% quarter-over-quarter to approximately 50,000 metric tons. Our average realized price for silicon metal sales decreased by 11% compared to the previous quarter, driven by lower index pricing in the U.S. and Europe. This price decline negatively impacted adjusted EBITDA by $17 million.  We continue to benefit from our energy agreement in France and the indirect CO2 which together contributed roughly half of the cost-benefit with lower raw material costs being the next larger contributor factor.  As for the silicon metal outlook, we are starting to see initial signs of increased customer inquiries as the recent inventory overhang is almost fully corrected. At the same time, the price environment appears to have stabilized. Another positive sign for the silicon metal market is the reduced exports from China, which should bode well for the future prices.  Next slide, please. Moving to silicon-based alloys. Revenue was $133 million in Q2, essentially flat with the prior quarter. Adjusted EBITDA for Q2 was $32 million, up 45% from the prior quarter. Sales volumes remained flat over the prior quarter. Average realized pricing was down 2% over the same period, negatively impacting EBITDA by $3 million.  Relative to the prior quarter, silicon alloys benefited from lower raw material costs, which was the largest contributor to cost improvement. This combined with higher CO2 compensations were the primary drivers of the cost impact. Demand outlook for silicon-based alloys remains soft due to the weakness of the European steel markets, with specialty ferrosilicon performing relatively better than standard. Our strategy to prioritize higher-margin specialty and foundry products over commodity grades silicon alloys enabled us to achieve better pricing and margins, demonstrating the effectiveness of our execution. Moving to Slide 7. We move to Manganese-based alloys. Manganese-based alloys revenue was $78 million in Q2, up 27% over the prior quarter. Adjusted EBITDA for Q2 was $1 million, down $2 million in the prior quarter. Sales volumes were up 34% over the prior quarter, positively impacting adjusted EBITDA by $1 million, while average realized pricing was down 5% over the same period, which negatively impacted EBITDA by $3 million. The weakness in the European steel market continues to put pressure on the spreads between the alloy and ore, which are currently at historical lows. However, we do not believe that the current spreads are sustainable. Should this continue, we would expect the supply response.  In Q2 2023, our costs in the manganese-based alloys segment were relatively flat compared to the prior quarter.  Before turning the call over to Beatriz, I want to emphasize that we are steadfast in our focus on driving future growth and enhancing shareholder value. Despite the current market softness, we are very well-positioned to take advantage of the market upturn which we believe will begin in the coming quarters. We are very bullish on Ferroglobe's role in the transition to green energy through solar and battery market which we believe provides a significant long-term growth opportunity for the company. Beatriz, please.
Beatriz García-Cos: Thank you, Marco. Please turn to Slide 9 for a review of the income statement. Our second quarter results improved over the first quarter due to an overall increase in volume and cost efficiencies, partially offset by weaker pricing. Revenue for the second quarter was $456 million, up from $401 million in the prior quarter. The 14% increase from the prior quarter was due to stronger volumes, driven by the resumption of operations in France after idling in the first quarter as a result of our energy agreement. The volume increase related to our French operations was primarily in silicon metal and manganese alloys, which increased 37% and 34%, respectively. Our volume gains were partially offset by lower prices.  During the second quarter, raw material and energy consumption costs improved to $229 million versus $255 million in the prior quarter. The lower raw material and energy consumption for production costs were driven by cost benefits from our energy agreement. Cost of sales as a percentage of revenue improved to 55%, down from 58% in the prior quarter. Excluding the accounting impact from the short-term PP&A in Spain, cost of sales declined to 50%, down from 64% in the first quarter.  Operating profit in the second quarter was $63 million, versus $44 million in the prior quarter. As a percentage of sales, operating profit was 40% -- 14% in Q2, up from 11% in Q1. The $19 million increase in operating profits at the second quarter was driven primarily by higher volumes and cost efficiencies.  Net financial expenses in the second quarter declined to $1 million, down from $11 million in the prior quarter. The decline was attributable to lower debt outstanding as we continue to execute our deleveraging strategy. In addition, we extend the maturity of one of our government loans, resulting in a one-time true-up of accrued interest during the quarter.  Next slide, please. Our adjusted EBITDA in the second quarter was $106 million versus $45 million in the previous quarter. Adjusted EBITDA margins increased to 23% in the second quarter, up from 11% in the first quarter. Silicon metal and manganese volumes increased in the second quarter as we resumed production in France. The volume increase positively impacted adjusted EBITDA by $34 million.  The average selling price across our portfolio declined by 6.7% resulting in a negative price impact to adjusted EBITDA of $23 million. Decline in prices in the second quarter were impacted by soft demand. Improved costs positively impact adjusted EBITDA by $50 million, mainly due to our energy agreement, CO2 compensation and declining raw material prices.  Slide 11, please. We ended the second quarter with a record cash balance of $363 million, up from $344 million in the prior quarter, an increase of $19 million. Total adjusted gross debt was $400 million, flat from the prior quarter. During Q2, we repurchased $2 million of our senior secured notes in the open market, which was offset by accrued interest.  Net debt declined to $37 million in the second quarter, another record level. As a result, net debt as a percentage of equity improved to 4% in the second quarter, down from 8% in the prior quarter and 30% in the year ago quarter. This dramatic improvement over the past year highlights our progress in reducing our leverage and strengthening our balance sheet.  Furthermore, in July, we redeemed $150 million of our 9.375% senior secured notes due in 2025, effectively reducing the outstanding note balance by half and lowering our annual interest expenses by approximately $14 million. Overall, in less than 18 months, we have reduced gross debt by $270 million, down from roughly $520 million, approaching our objective of having approximately $200 million of gross debt. For the next step in our capital structure, we are currently evaluating the most effective capital allocation policy to maximize shareholder value.  As you are probably aware, before we can return any capital to shareholders, we must remove the covenant restriction in our senior secured note debt agreement, which presents -- which prevents dividends and share buybacks. Given the strength of our balance sheet and the alternatives at our disposal, we believe such restrictions will be removed in the coming months.  Next slide, please. During the second quarter, we generated operating cash flow of $24 million versus $135 million in the prior quarter, primarily due to a $75 million tax payment made during the quarter. The high tax payment was the result of record earnings in 2022. Free cash flow in the second quarter was positive $1 million versus $117 million in the prior quarter. During the quarter, we had a working capital release of $79 million. We had a total $66 million of noncash items related to the accounting impact of the short-term PPA in Spain and the energy agreement. We plan to build inventory in the coming months as we prepare for the first quarter earning France. We expect that this will increase our overall working capital in the next quarter.  CapEx outflows in the second quarter were $23 million versus $17 million in the first quarter. We continue to project our base-level CapEx for 2023 to be around $75 million, with the potential to increase depending on additional spending for growth and ESG initiatives.  Lastly, cash flow from financing activities in the second quarter was $19 million versus negative $96 million in the first quarter, impact by bond repurchases, early repayments and bond interest payments.  Next slide, please. At this time, I'll turn the call back over to Marco.
Marco Levi: Thank you, Beatriz. Moving to the corporate update on Slide 14. As we have already discussed during the call, we made a significant step in strengthening our balance sheet when we redeem half of our outstanding senior secured notes in July. This transaction is an important step that better positions us for the forthcoming capital return decisions.  The U.S. Department of Energy's designation of silicon metal as a critical material is a big win for Ferroglobe as the leading producer in the U.S. Combined with a strong push by the U.S. government to strengthen the domestic supply chain, it facilitates the onshoring trend which has already seen tremendous progress. We believe the incentives created by the Inflation Reduction and CHIPS Acts put us in a strong position to take advantage of these growth trends in the coming years.
Operator: [Operator Instructions]. Now we're going to take our first question. And the question comes from the line of Lucas Pipes from B. Riley.
Lucas Pipes: Good job on the cost management during Q2. And my first question is in regards to Beatriz, your comments in your prepared remarks regarding the restrictions on capital returns being removed in the coming months. And so my question is, what is your desire to return capital to shareholders in this somewhat weaker macro industry environment? And then more broadly, both Beatriz and Marco, how you kind of think about capital returns versus pursuing growth, you think you have the ability to do both? Thank you very much for your perspective.
Beatriz García-Cos: Thank you, Lucas, for the question. Well, as you exactly point out, you know that our senior notes does not allow us to either pay dividends or share buyback. So now at the moment, we are about to look at the options that we have to return capital to our shareholders, either in the form of share buybacks or in the form of dividends once we sort out the issue around the covenants on the senior notes.  As we see it, we have a couple of options at the moment. In one side, we can get a consent, of course, from -- in our senior notes. The other option is to refinance or to redeem our senior notes. We feel quite strong about the cash generation that we have at the moment. So those are the options that we have at the moment. Once we get to that point that either we refinance or will redeem our senior notes or as I explained before, we got a consent, then we will be evaluating what is the best financial policy for the company, either in the form of share buybacks or payment of dividends. I think this could be something that we're going to be announcing shortly.
Lucas Pipes: That is very helpful. And a follow-up question. Marco, you mentioned the critical material status for silicon metal. If you could maybe comment on the implications for your business of that U.S. designation. You also mentioned a licensing agreement in your prepared remarks. If you could maybe expand on some of the details of that agreement, what it could mean in terms of potential revenue, would appreciate a perspective on that. And then separately, kind of near-term question, just how you think about the cadence of EBITDA for the remainder of this year given you reiterated your full year guidance? I know there were a few questions in there.
Marco Levi: Thank you, Luke. Well, the news from U.S. are particularly good because silicon metal has been already classified critical and strategic by the European community. And now the U.S. has confirmed the fact that silicon metal is critical for the green transition. Now of course, being the largest producer of silicon metal in the U.S. and in Europe, we see great opportunities to benefit out of it, not only because we know that our business is cyclical, chemicals will come back, but there is growth related to solar and batteries, and I think that due to our global asset footprint, we are pretty well placed to compete successfully to exploit these opportunities.  Regarding the license, yes, we -- as you know, we are working on batteries on 2 fronts. One front is basically supply chemical producers to produce products that partially replace graphite in the anode, and this is already going on. These specific licenses support our second development, which is towards the full replacement of the graphite with silicon in the anode. So having this additional know-how at our disposal is going to speed up our development. The third question was about?
Lucas Pipes: The cadence of EBITDA. So obviously...
Marco Levi: Cadence of EBITDA. Yes. I mean we do -- we are at $151 million at the end of the first half. And we have confirmed our guidance of $270 million to $300 million. The market is extremely challenging at the moment in terms of volumes, in terms of price trends. Our expectation is to see better conditions in the new year. But in the meantime, we expect to deliver good results in Q3 and lower results in Q4 due to the fact that we will have to slow down our production in France due to the energy conditions.
Lucas Pipes: Got it. So really like the cadence of Q3 and Q4 is really driven first and foremost by your volumes.
Marco Levi: Yes. Correct.
Operator: And the next question comes from the line of Martin Englert from Seaport Research Partners.
Martin Englert: Good afternoon, everyone. I wanted to touch on costs. Costs were well managed in the recent quarters, but maybe what you are seeing incrementally there as we move into and through the back half of the year, kind of your expectations that we'll continue to see some deflation there that will act as some mitigating factor on the declining price environment.
Marco Levi: You want to start, Beatriz, on cost?
Beatriz García-Cos: Yes, I can start. Thank you, Marco. Martin, I think on the cost side, what we have been seeing in this quarter is, in general, a decrease in the raw material pricing. The only raw material with prices that are still holding is coal and the [indiscernible] as well. I think going forward, we continue to see this trend sustained in Q3 and in Q4. I think the big caveat for us is around the coal pricing. Of course, the main contributor to the cost is the energy benefits that we have to run our assets in France.
Marco Levi: Yes. Martin, we continue to benefit of our energy contracts, particularly in France in Q3. And as I mentioned, during Q3, we will have to be like we have done last year, some level of inventories to support the slowdown of production foreseen for the end of Q4 in France in silicon metal.
Martin Englert: And some of those items like the -- that were adjusted for EBITDA and/or were beneficial from a cost perspective that you called out while reviewing the size like the PPA and carbon credit. What's the expectation that will continue at like a similar rate? Or are those off the table for the remaining quarters?
Beatriz García-Cos: Yes. Martin, in this quarter, we adjust to the EBITDA, the PPA that we signed in Spain. It was a swap for 2 months. So you saw the impact that we adjusted even if it is -- it's a positive impact in the quarter. And then I think as one of the highlights in our presentation, we said that we signed or execute the first PPA in Spain. And this would be the first one because our target is to cover more or less 50% of our energy consumption with this PPA. So you can expect more movements like that going forward.
Martin Englert: Okay. Well, earlier in the call, you said that the new -- maybe I misheard it, but the new Spanish PPA wasn't effective until I thought January 2024. Is that right?
Marco Levi: You are right, Martin.
Martin Englert: Okay. Got it. How about -- I guess this is along the same lines as the EBITDA cadence question, but maybe if you can touch on volumes specifically, thinking about third quarter, fourth quarter, I think you alluded to fourth quarter volumes probably sequentially lower. Is that -- maybe if you could review that...
Marco Levi: The picture is the following for us. Silicon metal, we see a slightly better situation than in the previous quarters. We think that the supply chain is rather empty. And we see our orders coming now more regularly than before. This is valid for silicon metal. While for -- I think that to see the same situation for alloys, we have -- at least for commodities, we have to wait the end of the year. Of course, we have the advantage of pharmaceutical, specialty and foundry that has a rather stable volume trend, but definitely, the supply chain of manganese alloys and ferrosilicon standard still suffers out of oversupply.
Martin Englert: Understood. And one last one here, and you did touch on this in the prepared remarks, but I think you said working capital, did you expect working capital relative to sales to increase quarter-over-quarter in 3Q? And then what was the -- I didn't catch the reason behind that, why that is expected to happen?
Marco Levi: Apologies. I was not clear, my fault, Martin. Let me try to repeat it more clearly. We expect an increase of working capital in Q3 driven by the fact that we will slow down production in France, where we have the core of our silicon metal production in Europe at the end of Q4. So we will need to start building inventory of silicon metal. So this means producing more finishing goods, but also by the right volumes of key raw materials.
Martin Englert: Okay. At a group level, any goalposts on how we should think of overall working capital as a percentage of sales in 3Q then?
Marco Levi: Well, the silicon metal will be higher than our target 21%, 22%. We expect to run at this level. Ferrosilicon and manganese will continue to be north of 25% of our sales.
Martin Englert: All right. Excellent. I appreciate the time and congratulations on navigating the environment and on the cost front.
Operator: [Operator Instructions]. And the next question comes from the line of John Rolfe from Crescent Capital.
John Rolfe: Nice quarter. Two questions for you. One, on the cash flow statement, there was a $62 million outflow related to the other line item. I was hoping you could provide a little bit of additional color around that. And then as my follow-up, could you just maybe give a bit of additional detail in terms of what is the practical impact of having the Department of Energy add silicon metal to its critical material list?
Beatriz García-Cos: John, let me answer the noncash items question. So there is mainly 2 items that you need to take into consideration. One is the PPA that we have in Spain. And the second element that you need to take into consideration is our energy agreement in France. So those are the 2 items that are playing a role on these noncash items.
John Rolfe: Got it. So what do you need to post collateral for those energy and power agreements? Or is it just a payable that you have to make at some point in the future?
Beatriz García-Cos: It's a receivable. On the energy, it's receivable. And on the PPA, it's just what I explained before is the adjustment of the swap agreement that we have in Q2 2023.
Marco Levi: John, on your second question, the thing is that when we think about what's happening in solar and batteries market, the idea in U.S., but also in other countries is to establish the full supply chain. And what is important is that everybody understands what are the elements of this supply chain and the fact that silicon is recognized like a critical and strategic raw material implies that silicon and investments related to silicon are going to be considered by legislators, by politicians, by investors. So this is really the essence. And as these things are moving pretty fast in the Western world where we have main footprint in silicon metal, puts us in a good position to exploit some of the coming opportunities.
John Rolfe: So just as a quick follow-up, I mean, does that designation give you increased confidence for instance that the government will continue to keep antidumping tariffs on some of the countries that they currently have the tariffs on that sort of thing?
Marco Levi: Yes, this is part -- I mean, this is related to onshoring and defending local production, yes. I mean there is -- this is happening also in Europe. Unfortunately, my opinion, Europe is less efficient than U.S., not only in protecting from dumping, but also in terms of walking the talk. So I think I'm very optimistic about the situation in U.S. at the moment.
Operator: And the next question comes from the line of Morten Normann from Carnegie.
Morten Normann: I have two questions. One is a fairly easy one. What is the sales mix between the U.S. and the Europe in metal and silicon-based alloys? And the second question is regarding the CO2 compensation, how do you book that? You mentioned higher CO2 compensation in the second quarter. And what was the incremental change in the CO2 compensation between first quarter and the second quarter? And is the CO2 compensation in the second quarter also representative for what you will book in Q3 and Q4?
Marco Levi: Okay. As far as I know, usually, we don't give data about the mix by geography. But let me try to help you a little bit. In Europe, we sell the entire mix. So we sell silicon metal, silicon-based alloys, foundry and manganese alloys. In the Americas, we don't sell manganese alloys, while we are present with silicon metal, ferrosilicon and foundry products. Outside of these geographies, we have quite important footprint in South Africa that supplies basically for ferrosilicon Europe, while for silicon metal, the asset in Polokwane, South Africa supply is a little bit everywhere in the world.  We have a plant which produces electrodes in China. It's the only plant that we have that produces electrodes and now this production basically go to the U.S. and to Europe. We have a plant in Argentina that supplies calcium-silicon and foundry products to supply Europe. This is -- broadly, this is our mix.
Beatriz García-Cos: And Martin, with regarding the CO2 to your question. So to comment, comment number one is that the CO2 is -- I'm sure that you know that, but okay, is an allowance that we receive, right, based on the production of the previous years. And then we book it in our P&L base for the production of the quarter. And as you remember, in Q1, we didn't produce in France, right? And this quarter, we have been resuming the operations in France, so we have been producing.  So the amount of CO2 that we book in our P&L is higher than in Q1. So the way to look at CO2 is depending if our plants are operating, you will see a different amount of CO2, if this answers your question.
Operator: And the question comes from the line of Greg Bennett, just the stockholder.
Unidentified Analyst: Thank you for the great results. Silicon metal on the United States, you said you're the largest. At what capacity are you now running? Is there excess capacity? Or do you have the opportunity to expand that capacity?
Marco Levi: Yes. We have 2 plants in joint venture when you talk about North America with the Dow Chemical company, one in Bécancour, Canada, and one in Alloy West Virginia. These plants produce only silicon metal. We have another plant in Selma, Alabama, which is owned by us, which produces only silicon metal. And then we have a plant in Ohio -- Beverly, Ohio, which produces ferrosilicon, foundry and silicon metal. So produces all the mix to supply the United States. These plants are back-integrated with mines in Canada and Alabama for coal and we have a mine -- coal mine in Kentucky. So this is the footprint.  Now the -- we believe that the -- it -- when you keep your plants in a good state, in a good status with the right maintenance CapEx, we have the possibilities, one, to improve the yield of the furnaces with different technologies. These are incremental capacity expansions. Then we have the opportunity to increase our capacity greenfield at the most competitive plants. So the plants, among the ones that I have mentioned, where for us it is pretty easy and pretty fast to put a new furnace and to increase the output of silicon metal. So the footprint and the back-integration are basically our strong points.
Unidentified Analyst: Is your energy supply natural gas? Or is it -- what is the energy supply? Because you focus on energy costs quite a bit, at least in Europe.
Marco Levi: Yes, we are talking about electricity.
Unidentified Analyst: Your cost is electricity, not natural gas. Is that correct?
Marco Levi: We're looking at electricity, yes.
Unidentified Analyst: Okay. And these are competitive areas like West Virginia for that?
Marco Levi: Well, talking about the -- we have different contracts for the different assets. That's true.
Unidentified Analyst: How do you expect the U.S. -- is there going to be grants given to companies like yours or financing -- favorable financing for you to increase capacity? How do you envision that's going to -- what's going to happen besides tariffs?
Marco Levi: Yes. We are looking into that. And we are talking to different partners. I think that the key thing is to form alliances with other companies in the supply chain to leverage at best the incentives that the government can potentially guarantee.
Unidentified Analyst: And your joint ventures with Dow Chemical, if you want to expand, is that an agreement between the 2 of you? Or how do you see your partner contributing in this?
Marco Levi: Well, the joint venture with Dow Chemical is related to the 2 sides of Bécancour and Alloy. And the -- whenever we consider an expansion either in Bécancour or Alloy, we need to sit down with the Dow Chemical company that uses capacity for their own production of chemicals.
Unidentified Analyst: Okay. For whatever it's worth, I would like you to continue to delever considering the uncertainty of -- from an economic point of view going forward for whatever that's worth.
Marco Levi: I hear you loud. I totally agree with you. Deleveraging -- further deleveraging and start distributing dividends to our shareholders is our priority.
Unidentified Analyst: Let me ask you one other shareholder question. There's virtually very little ownership or if you look at your shareholder base, you have some hedge funds, that type of thing. But as far as being part of any kind of environmental, social, governance or solar, there's -- I don't think there's any coverage at all and you've hired a new shareholder relations person. Do you anticipate coming to New York or Boston or places to visit with institutional investors to try to get the Vanguards and Fidelities of the world to look at your company that you're kind of an...
Marco Levi: Let me start answering your question. First of all, we have been doing that a lot between December, February and March this year. And we've been several times to the U.S., meeting current and potential investors. Today, we are covered by B. Riley and Seaport. There are other parties who are showing up, interested in covering us.  The -- you referred to the -- you made a reference and I'm pleased about that to our investor relationship. Yes, we have decided to focus much more on the -- on our shareholders. And for this reason, we have hired somebody who has an enormous experience in IR, and we are pleased to have him around in -- for this exercise. So yes, Alex Rotonen is in the call at the moment.
Alex Rotonen: Yes. Thank you. Yes. So that is clearly one of my missions is to do more outreach, expand coverage. And I'm quite familiar with the U.S. market since I've spent most of my life there. So I'll certainly be visiting U.S. quite a bit with the management team. But I've been here for about 6 weeks now. So I haven't had a chance yet, but we'll be traveling.
Operator: This concludes question-and-answer session for today. I would now like to hand the conference over to your speaker, Marco Levi for any closing remarks.
Marco Levi: Thank you. That concludes our second quarter 2023 earnings call. Thank you again for your participation. We look forward to hearing from you on the next call. Have a great day.
Operator: That does conclude our conference for today. You may now all disconnect. Have a nice day.